Louis Schmid: Good afternoon and welcome to Swisscom's Full Year Results Presentation 2023. My name is Louis Schmid, Head of Investor Relations. Let's start the online meeting with a short introduction and move to Slide number 2 with the agenda for today. Christoph Aeschlimann, our CEO starts with Chapter 1, A Successful 2023, where he dives into some of the achievements commercially, operationally, and financially. Then in Chapter 2, Empowering the Digital Future as Innovators of Trust, our CEO presents a Swisscom Group story and strategy before explaining the strategic priorities for Switzerland and Italy. Thereafter, we move to Chapter 3, Trusted Leader in Digital Life and Business in Switzerland and Italy, covering achievements, market trends, strategic priorities, including ambitions for Swiss B2C presented by Dirk Wierzbitzki, our Head of Residential Customers Swisscom Switzerland. For B2B presented by Urs Lehner, Head of Business Customers Swisscom Switzerland. For Swiss Networks and IT, presented by our CEO; and our Italian business presented by Walter Renna, CEO of Fastweb. After Walter's presentation, our CFO, Eugen Stermetz will present in Chapter 4, our rock-solid financials including the outlook 2024. In the wrap-up chapter, some final remarks from our CEO, Christoph Aeschlimann. After the presentation, we move directly into the Q&A session which starts at around 4 o'clock. With that, I would like to open the meeting and hand over to Christoph.
Christoph Aeschlimann: Thank you, Louis. We will move directly into the achievements of 2023. I think we can say that 2023 was again a very successful year for Swisscom and Swisscom delivered again all operational and financial targets. We are leading in Switzerland. We were awarded the strongest brand in Switzerland. We have a very large NPS leadership and were able to win many shop, service, and network tests in the past year. Also in Italy, we had a strong growth. We continued to grow in IT. And Walter Renna took over successfully from Alberto in the CEO role. On the Swiss side, B2B had a strong development especially on the IT side with a strong growth further positioning Swisscom as an integrated connectivity and IT leader. Last year, we have also seen a lot of innovation. Many new products were launched both on the B2C and the B2B side to strengthen Swisscom's innovator image and to make sure that we can generate new revenues in the future years. On the ESG side, we made a major milestone by obtaining the accreditation or the approval of our SBTi targets, which we handed in and we are now on track to execute against our 2035 Net Zero SBTi approved target. On the next slide, we can see a brief overview of the operational performance of both Switzerland and Fastweb and you can see that overall it is a very pleasing result. In Switzerland, we were able to continue our growth in Q4 on the mobile side and were able to attract 129,000 new customers on our postpaid offering, leading to a market share of 53%. Broadband was roughly stable, slightly declining, but overall compensated by a slight growth on the wholesale side by plus 13,000 connections. We also had some structural changes. So you can see that TV decline continued in Q4. Also, the fixed voice decline continues in line with structural changes in the market, and many customers canceling their fixed voice lines or TV behavior shifting more and more to other media content such as OTT streaming providers. On the Italian side, we had a very pleasing development on the mobile side with plus 422,000 subscriptions, reaching 3.5 million customers year-to-end, representing nearly 5% market share. We also continued our value strategy on the broadband side and accept a certain decline in our broadband customer base, which we overcompensate largely by the growth in our wholesale business, because as you know last year or quarters have seen many new entrants in the Italian fixed line market with Iliad, with Sky and lately Enel. And these customers are customers of our wholesale division leading to a very spectacular growth of 69,000 lines in Q4 and an overall growth year-on-year of 108,000 lines, largely overcompensating the loss we have on the B2C side. Overall, this led to very pleasing financial results. We had a stable group revenue of CHF 11 billion, representing 0.2% change. We had a growing EBITDA at CHF 4.6 billion, up 4.9% growing net income at CHF 7.1 billion and with stable CapEx, a very strong growth in operating free cash flow proxy and overall free cash flow also growing to CHF 1.48 billion or plus 9.7%; and Eugen will later detail the financial numbers and go into more details on this. I will now move on to Swisscom Switzerland or Swisscom Group first, the Swisscom Group story. So one year ago, we gave ourselves a new vision to clarify the purpose of Swisscom which is helping all our customers achieving the maximum value in the digital world and extracting value from digital technology. We believe that achieving value out of digital technology requires on the one side, obviously innovation and new digital technology. And on the other side, it also requires a trusted base between the customers and the company. This is why we established a new vision one year ago Innovators of Trust, where we say that we want to be a trusted digital technology innovator, making new technology available to our customers in unique and easy-to-use customer experiences. We also focus on generating a positive impact for society with digital technology because we strongly believe that this again generates new trust in digital technology and makes it easier for our customers to accept new technologies such as 5G or at one point in the future 6G. And now we -- in the past year, we also worked on our group strategy to decide how we want to achieve our vision. And we decided on the following four strategic pillars we want to work on within the Swisscom Group, and this new group strategy is valid for all our group companies in Switzerland and in Italy. The first two pillars are focused towards our customer base. And the second two pillars are focused more internally and is about the transformation within Swisscom. So as you know Swisscom has always had a very high customer focus, and we want to continue to delight our customers as they are the basis of our future success. Delighting customers starts with the best network both wireline and wireless, but obviously also extends into having a sales and service excellence in the shops, in the call center, in the B2B sales force, or an excellent digital interaction for our customers. We also need to focus on the future to generate future growth. This requires new products that we need to invent and build both for consumers and for digital customers, which I will talk a bit more about or Urs and Dirk particularly will talk more about the new products that we are currently working on and launching that will generate new revenues in the coming years. Now as you know on the technology side in particular in telecom, what is great today is average tomorrow and customers will not be willing to pay the same amount in the future for the similar service. They expect more at a lower cost. So, it is important to work on our own efficiency and cost base, and we need to make sure that we can achieve more with less resources to be able to satisfy future customer demands at a lower cost. This we will achieve by implementing or focusing heavily on our future digitization internally at Swisscom, but also automating more, and obviously, applying artificial intelligence at scale across all sectors in our company. This will allow us to work in a different way and achieve more with less input, but it also requires our people to change to perform together. So we also need to work on our collaboration within the company, but also constantly develop our employees. We need to learn new skills. We need to learn how to use artificial intelligence train our people that they are also fit for purpose in the future. And this is what's the last and final pillar of our strategy is about. Now I don't want to go into too much details of these pillars, because my colleagues will talk about it with what it means regarding their relevant segments. But next to delighting customers within our interaction with the customers, obviously, branding is also an important aspect, and we will continue to work on the branding of both Fastweb and Swisscom in the future. And the basis for growth is, obviously, as I talked about new products in the future. Next to digitizing to achieve more with less and using AI. We will also focus on standardization on simplifying continually our IT and to focus also on excellence both in service and sales organization. We also defined new Swisscom group goals. We have defined five group goals for the overall group, which apply to all subsidiaries within Swisscom. Today's presentation we will focus on the first two ones, how do we become a trusted leader for both consumer and business in Switzerland and in Italy? And how do we achieve rock-solid financials in the future? But the other three are not less important, but you can find the details in the appendix of the presentation and we're also happy to obviously answer any questions in the Q&A on the remaining three group goals. Now I'm at the end of my presentation and I will hand over to Dirk Wierzbitzki to talk about consumer in Switzerland.
Dirk Wierzbitzki : Okay. Thank you very much Christoph. Good afternoon everybody. Looking back at 2023, we obviously utilize the group strategy framework to guide the presentation. Overall, we are happy with the results that we have achieved in the consumer segment in the last year. Obviously, key to this has been delighting customers as always. We were able to extend our NPS leadership on the back of great connectivity and networks great and outstanding experiences, with products and entertainment and obviously also great services be it assisted or non-assisted. Then our packaged and compelling propositions that are delivered via Swisscom and the Wingo brand and third brands in a segmented approach to the market is a clear focus on value for customers that ultimately led also to a stable ARPU situation, which in turn then led to an almost stable service revenue situation in the B2C business for last year. Innovate for growth, a key topic last year was certainly entertainment. I'm going to explore that in a minute a bit more. But clearly, we upped the experiences from a experience and functionality and content perspective, both for our own content offerings, but equally also with liaisons for compelling third-party offerings that we brought to our customers. These two pillars then also helped to achieve more with less. I'm happy to report that we have a stable EBITDA. So while the left and pillar clearly work for the top line, we are also busy on working on our cost structures particularly on things like simplicity or stability, avoiding customer interaction, which is of no value for us and for the customer. So clearly, let's say we have a good workload reduction. And that shows in this result combined soon also with a push into digital experiences that have helped to achieve this. Looking at the next page, which is probably most -- to most of you known the market is slightly growing which is basically really coming from the fact that roughly 100,000 population growth is there every year in Switzerland, which in turn mean roughly 40,000 new households which we are profiting from. And then particularly in the mobile space, there are still pre- to post-migration ongoing which is another source of growth that we can participate from. We do that as I said, with our own brand and the second and third brand. Clearly, our focus here is value and quality and not pricing. What we also like we see is an increased development of digital maturity in the population overall, which is helping also the shift to digital as we service or as we address customers. And with respect to pricing, we expect that we have an unchanged situation as we had it last year also this year. I'm not going into the right-hand side here as I touched upon most of the topics later on. When we look ahead and you would ask ChatGPT tell me the difference between this chart and last year you'll probably, not find too many differences there which basically means we continue our course, which is along this with us delight customers innovating and achieving more with less. And the particular focus here on delighting customers is really -- our focus is on delivering great value for our customers, with the best experiences there. And in innovation next to further upping, up our experience in entertainment, we are looking into certain segments or product segments, where we believe let's say we can serve customer needs and grow a bit more. And then achieving more with less we're also maintaining course. And as Christoph said already in particular with new possibilities like exploiting AI to serve customers we see even further opportunities that we want to unleash. Looking into the value side of things that I touched upon, I'm really pleased that we have mostly stable ARPUs. As you can see in the middle on the graph, on wireless, there's a slight decline which is mostly from the fact that we have a slight brand shift going on there as you all know. But overall, this situation let's say is a rather stable situation. That also is a result on itself by focusing on value which is the first point on the left-hand side as you can see it. Some of you might remember we talked about that already last year. We have reduced quite substantially first on the main brand on the Swisscom brand our promotional activity in terms of promotional discounts, in terms of time, in terms of gifting promotions and so on. And last year at around spring time frame, we also took back the aggressiveness in promotional activity on the second brand and also focusing even in the budget segment more and more on delivering value for money as opposed to like the cheapest price around. And apparently let's say is a trend that we have begun with and we want to continue in 2024. So we continue to execute our multi-brand play with a focus on value and quality all along. We do see certain opportunities, particularly also from the fact that the fiber network build-out is continuing that gives us great opportunities both in the customer base but also then obviously to acquire new customers in those areas and regions where we beef up the network from copper to fiber. Next page, you see the RGU development which consolidated is mostly flat. They're obviously looking underneath there are a couple of changes. We had quite a good growth on postpaid RGUs. We have a further decline on voice RGUs. So they kind of like fixed mobile substitution on voice is still ongoing. And we were mostly stable on broadband and we had a slight decline on TV. Some of that correlates obviously with the decline in broadband and some of that also correlates with the effect that Christoph has already touched upon. As you can see also from the graph in the middle of the page at the bottom, we are pleased with the uptake of our blue portfolio which we launched mid of 2022 so most of the customers are already there. The white spaces to me and to you should indicate that there's still possibility from some of the base customers that happen to be an older tariff schemes to bring them into the new blue tariff scheme which then also is mostly a more-for-more deal, meaning for a little more money customers get much more in there be it broadband speed performance, data or entertainment or whatever. On the FMC penetration, we also still see room for growth that we want to address and tackle. And equally also there's not a graph for that here but similarly for the household penetration, we see an opportunity for growth. That not only then for the FMC part for the main brand for the Swisscom brand but also for Wingo we have a bit of an imbalance. We have many more mobile customers and broadband customers obviously also to cross-sell broadband into the mobile base that we would have with Wingo. Looking at the customer satisfaction or NPS development we are really pleased with what we have accomplished not only according to our own measurements and insight but also testified by third parties like consumer magazines and other organizations where we mostly won like each and every prize that is around there strong recognition also again from brand finance for the overall brand work for Swisscom. And really that to us is at the heart of our success happy customers' stay and churn less. And obviously a good company is a good reason let's say to join us when everything works so well and the brand has such a high recognition. The churn rates you see at the bottom there more or less on a similar level than last year. So really something that we are pleased with and we want to continue which obviously goes without saying in a saturated market environment you continue and have strong efforts into your customer base to have them happy and recommend us and our brand for others. At Page 19 then a bit of a deep dive into TV, TV is really let's say next to the connectivity product if you wish the reason to come and reason to stay a main pillar of our proposition. And as you remember we have got from nowhere to market leader over the last decade and we still do believe that we have the best proposition around. Nonetheless obviously we have upgraded the proposition as I said last year. So it gives people even more a pleasure and choice of content and other possibilities in their connected home by utilizing the Google platform and the Google Play Store with the world of applications and content that is in there. We also cut special deals with third-party streaming providers like Paramount and Disney who are hugely relevant to our customers. And our customers can profit for instance from special discount and prices but also from a better convenience as signup and billing and so on. It was all come from one hand and that is us. And obviously that is something that we want to continue also this year. Looking in the broader product and offering portfolio then obviously next to connectivity and entertainment we see pockets of growth in areas like accessories connected devices security offerings. And we also want to expand our insurance offering that we already provide for like device insurances and so on and so forth into other insurance areas. This year, as we believe, let's say, we can leverage the strength of our brand and leverage the size of our customer base also in other product areas that are correlated to our connectivity and to the relationship that we have with customers. Last part then taking a look into the development of service in particular, the move from assisted service to digital service. We are particularly pleased with how that has developed for eCare, 70% of our workload and interaction already is brought about on the digital interface. You also see at the bottom of the page, we have been immensely working upon reducing the contact center workload, which in turn by the way has a side effects that customers are more happy because quite often as customers call in something doesn't work, something isn't as simple as it should be and so on and so forth. So we have been put a great deal of effort into working on high-performing networks and product and stability, but also on ease of use simplicity and so on and forth. So that question don't arise at all and then leads into the workload reduction as we have it. And on the left hand -- sorry, on the right-hand side you see our focus areas for this year basically we want to continue that route leveraging also the possibility that AI offers for the digitalization of the customer interface. And also once we had quite focus on the hotline and customer care since last we are also putting quite some focus on our retail network where we equally believe that the retail network can profit from new ways of servicing customers and digital opportunities and so on and so forth. So that's clearly a focus area both for pleasing customers, but also to become leaner in operation for next year. Voila that concludes the briefing on B2C and I hand over to Urs Lehner for B2B.
Urs Lehner: Thank you very much, Dirk. Good afternoon from my side. Happy to share our results concerning the B2B segment in Switzerland and started with our core achievements in 2023. In the pillar of delighting customers there for sure we are really pleased that we have launched and strengthened our value differentiation by launching new products in the mobile space in the SME segment last year and a set of service is also in the IT segment, which I will come to it further on. Then one really great remark and an outstanding achievement was our customer satisfaction score that we have achieved on NPS level, so all-time high in corporate and SME segment where we are really proud of and thankful. And last but not least also improve our -- addressing our customer business needs by transforming our go-to-market sales organization, the direct sales corporate segment during the period of 2023. In the pocket of innovate for growth, we definitely can say we are pretty far ahead in transforming our legacy or existing MPLS-based business network solutions in Switzerland to a full SD-WAN substitution. And I will dig into that a little bit later on but there we are really pretty advanced ahead and we see a lot of value by delivering this flexibility and this innovation to our customer base here in Switzerland and also Swiss space with partners abroad. In the SME IT market segment, we have strengthened our positioning by delivering a new offering, full integrated offering for SME customers that we have piloted in 2023 and was fully launched now in January 2024. And there is really an interesting opportunity ahead. Also combined with some inorganic acquisitions done last year looking forward also driving that into 2024. And last but not least in the dimension of achieving more with less. Digitization is for sure all about was in the SME segment, the first launch of a fully digitized mobile product last year, which will be scaled up now in the coming weeks and months ahead. We have a positive development of the IT profitability, which I will dig into it a little bit later on in detail. And last but not least, a successful organizational simplification in a few elements internally, but also in the go-to-market organization. If you look into the market perspective in two dimensions. First of all, starting with the telcos with the telco segment the B2B segment in Switzerland is still declining from an overall market perspective point of view, due to price pressure and also due to technology conversion into SD-WAN and other elements. But on the other side, the Swiss IT market has a nice growth with 6% CAGR on average within the last years and also in the years ahead. And there we try to participate as much as possible in this market growth. The market trends that we see is an increasing conversions of network and IT as a main differentiation factor. And with our position with strong positioning in the telco market space, but also in the IT market space that we definitely see a play for B2B was an interesting and intensive evolution in 2023, which we are convinced we'll also be a strong positioning and base to further grow in this market. Our Swisscom's proposition in B2B is and will remain local proximity, which is a fundamental factor in the Swiss market with its different environments from customer side, but also from languages and the proximity and cultural differentia. I guess, there we have solid and all over Switzerland good positioning, where we can build on. We are the most trusted business and transformation partner within the ICT environment here in Switzerland and service differentiation and excellent customer service is key and will remain key in our offering in our way of working with our customers and partners. If you look to the strategic priorities 2024, we lever on award-winning network deliver products and services to defend our ARPU premium. So our value strategy as it was also explained in the B2C segment by Dirk, is a fundamental pillar of our further evolution where we are working on consistently and executing well. We drive differentiation to the next level, by bringing seamless customer experience and excellent services and trust for our B2B customer base from the smallest SMEs to the largest internationals. Innovate for growth, by pioneering with a next-generation connectivity offering, which I will elaborate a little bit more in detail further in a minute and enhance our position as a leading IT services provider by benefiting from the market growth on an organic manner, but also in certain pockets with further inorganic growth. To achieve more with less, we transform our operating model and are continuously driving our excellence through digitization, standardization but also being having the ability to manage real existing complexity in our B2B world due to the fact that continuous growth in business means also having the capability and maturity to absorb complexity, which is driven by new business.  We continuously execute on the value strategy as mentioned in the telco space in the wireline -- in the wireless environment, we launched the fully integrated enterprise mobile portfolio last year. And we will further expand on that to have an integrated offer for all B2B customers independently of size due to our conviction that the needs are fundamental, the same for smaller and larger, larger corporates -- and it's really an integrated play that we try to achieve there by delivering our excellent products and services for the whole B2B customer base, which is the family of products in the mobile space called Enterprise Mobile and in the wireline space, our Enterprise Connect offering, where we are in full transformation of our historical MPLS installed base in the corporate segment and already 100% on SD-WAN in the SME world since a lot of years. With this, we are able to defend our ARPU premium and also able to win back customers, which really are looking for flexibility, value for money and key differentiation to be -- to have a partner which is really able to serve the needs in various manners. We have, by far been proven external benchmarks, the best business Internet performance in Switzerland and are building on that further on as a trusted partner and where our customers can rely on with fundamental stability in our services day and night. Looking to 2024. We have the full launch of the enterprise mobile portfolio, which is going on with also some selective price adjustments ahead to stabilize our ARPU level. And on the wilineside, we enhance our offering alongside with additional services and push cross-selling into our customer base. The blended ARPU consist-- it has declined by 2 points in consideration to the previous year. And the ARPU base has a slight increase of 8k in the year-to-year relation. As mentioned, we try to drive our interaction with our customers as innovator of trust to the next level. Our NPS results in regards of the Swiss environment in corporate segment, we achieved 45% and yes, me segment, 30 points, which are all-time highs in our environment since we measure these values. We have converged all our business portals into one integrated so-called my Swisscom business portal, which is the one-stop shop for our B2B customers for self-service, but also for interacting with us over various channels. This was a very important transformation on last year where we build on towards 2024 to push our digital self-care and sales capabilities further on all into the SME, but also in the corporate segment. As mentioned before, we are working on next-generation connectivity portfolio for B2B customers, where in this next-generation offering, we will combine wireless, wireline, security and value-added services in a new approach and looking forward to that -- to launch that towards 2025. We are convinced there is a huge chance in it, but also some challenges ahead to solve with this innovation. We try to drive within the B2B segment. If you look to our SD-WAN penetration, particularly in Switzerland, you can see that from a commercial perspective point of view, we are today end of last year at 84% of our installed base, which has fully SD-WAN contracts in the wireline space. And 50% of these customers have already been migrated in the corporate segment to SD-WAN only solutions. Our intent is commercial-wise, we have this transformation fulfilled by the end of 2025 and technical-wise in migration by end of 2026. Then being getting rid of the last NPS network resources here in Switzerland in the B2B segment. The launch of new business, a critical push to talk solution, but also further evolution of our IoT business is also a key element looking forward in 2024. DR2 [ph] in IoT have doubled -- more than doubled over the last two years, and we see a huge adoption of IoT solutions in rollout for Swiss-based multinational customers all over the globe after the corona wave. So there we definitely see also a solid evolution and trend also looking forward into the space. Coming to a further expand position in a Swiss IT service provider. We had a 3% increase in turnover compared to 2022. If you look into a little bit pockets of our IT portfolio, there we have environments like cloud, security, but also software business, which has a very solid double-digit growth, but we also have some substitutions in our installed base. For example, in the UCC and workplace environment or in some cloud environments where traditional workloads, which were operated today fully in private cloud or in hybrid scenarios, migrating them together with our strategic partners on AWS or Microsoft in hybrid scenarios. Therefore, some, let's say, value dilution takes place. But overall, we still have a solid growth in our IT services revenue and have also worked intensively in our profitability profile on IT and also have there made steps forward in a road map, still doing more on that ahead. If you look into our portfolio of activities in the IT segment, we have a set of participation of companies which are fully consolidated within the B2B business, but which are acting on their own brands within Switzerland. Why are we doing that? First of all, there is not a one-fits-all approach in a go-to-market in a very scattered market. Therefore, we have some specialties in subsidiaries focused either, for example, for ERP solution in the SME segment or for some security consulting services, where a set of customers, especially the smaller midsized customers have a strong tendency also to work, not only with large brands, but also with smaller brands, which companies, which fits commercial-wise or also culture-wise, in their perception better to them. And in this approach, we address this capability and use synergies in our ecosystem really to drive value for our customers. And in this participation ecosystem, we also had a very nice growth last year, joining a new company was accept mentioned, and driving these synergies in our ecosystem way forward to create value for our customers and for Swisscom is still our strategy where you had. We have announced a collaboration with NVIDIA looking forward in 2024, where we want really to build on. We are already working with NVIDIA in the B2B segment since two years here in Switzerland. Now with this investment in AI platform and building up capabilities here to serve Swiss customers and also Italian customer, Walter will, for sure, also dig into later. There we are really going forward with an intent to be a solid partner for trustful AI adoption for solutions for Swiss-based B2B customers. And for sure pushing cyber defense and also cloud adoption is and will remain a very important topic also in 2024. Last but not least we have also a ramp up of new offerings by initiating direct go-to-market and approach in the SME segment in addition to our partner ecosystem that we are evolving or let's say, working with it to make sure that all over Switzerland, our IT solution or the one-stop shop fit, for our SME customers here in Switzerland, where we have finally 600000 SME customer base in the market. I told that we are working on the improvement of our IT profitability. You see the evolution of coming out of 2021 had a solid evolution in 2022. Also a lot of work done in 2023, which – on which we will capitalize for sure also ahead. It will and is and will remain an important factor that we drive also the profitability profile of our IT solution portfolio combined with a growth as a – with an ambition at least on market growth level. Looking to 2024. Some further enhancement in digital sales and self-service capabilities are for sure one focus we are working on then the transformation of go-to-market approach, which I already mentioned, which has been initiated in 2023 for all for our key account management here in Switzerland. We will build on that further on building up an industry-specific knowledge and capabilities to make sure that we are really the partner of choice for and trust for our B2B customers all over Switzerland. And last but not least, we continuously work and improve our interaction capabilities that our B2B customer can select on their own the channel in which they want to choose to interact with us by timing and also by their favor either serving providing service, self-service or also delivered through service requests through our various channels in an integrated manner. There is still some work to do ahead but fully convinced that by end of 2024 beginning of 2025 the full homework is standard where we can execute on further into the market. And last but not least, with this I will hand over to Christoph to dig into the infrastructure in Switzerland. Thank you.
Christoph Aeschlimann: Thank you, Urs. So now let me talk a bit about our infrastructure work in Switzerland, which I think we can say is the basis of our proposition both in the Consumer and Business segment side. The basis of delighting customers is the best network mobile and wireline. And we achieved many awards on this front in 2023. We were able to win all relevant benchmarks both on the wireline and the wireless side and we continue to heavily invest in the rollout of FTTH. We have the largest FTTH footprint in Switzerland and we further increased our 5G plus coverage. Also to be able to innovate for growth in the future you need to make space for new things and you need to clean the house. So we are also focused on further simplifying and automating our current landscape. So one important aspect of this is the launch or the renovation of our optical and IP core networks. We have both built the new optical core and the new IP core. And now we are continuously migrating, the old -- or all the services from the old networks to the new optics and IP network which will move us into a very different position in the future operating completely automated networks which are future-proof. Also further decreasing the complexity in our IT landscape is of paramount importance to be able to decrease our cost base and move ahead and improve the resilience and stability of our networks and our IT. For this we also continue to invest in our in-house IT capabilities because we strongly believe that being in control of DevOps and IT capabilities is a key to the future as IT is becoming more and more important to run the business everything becomes digital AI-driven. So we need to have these capabilities in-house and we have started many years ago with this and have achieved major new milestones I will talk a bit about later on. Overall from a market trend perspective I think we can say that the trends are largely unchanged. Data consumption continues to grow both on the Wireline and the Mobile side. So we need to continue to invest in those networks. We can still see a Global Public Cloud Shift. And I think on the wireline side it is very clear now that FTTH and fiber is the future-proof technology that needs to be rolled out. And over time copper networks will be substituted by an FTTH footprint. War for talent is also still very important for us attracting and retaining the talent in IT and network is very important. There is still a lot of demand for these types of resources in the market. This has not changed from 2022, and we continue -- we expect this to continue also in 2024. So focusing on being a top ICT employer having a strong value proposition as an employer is a very important aspect that we continue to work on. Something that has probably changed quite substantially last year is the impact of AI. So we are using AI since many years probably about five years that we have started to implement AI-related technologies and automation. But last year with the appearance of GenAI I think the game has changed and the importance of AI has further increased and we will obviously also roll out this technology more and more across the whole company all divisions and all functions as also already Urs and Dirk highlighted before. So moving ahead our strategy into 2024 is very similar to the strategy we executed last year in 2023. We will continue to focus on rolling out FTTH and 5G to ensure the best network in Switzerland for our customers having a seamless experience and also even further increasing network reliability and security as this also has a direct impact on NPS and obviously the cost base we have in the call centers by reducing the incidents or reasons to call for our customers. We will also -- I think, Urs already explained it put in place or expand our private cloud infrastructure with an Nvidia-based type infrastructure to add AI compute resources for internal use but also for our B2B customers and we will continue our migration to the new optical and IP cores which is a very important program that is running since nearly three years now and continues, or will continue to run approximately another three years in parallel with the B2B migration of the customers moving from MPLS to the new SD-WAN product base. Achieving more with less will also be one of the key topics on the IT and network side. We will further reduce the complexity and remove IT platforms but also applications. We will continue to reduce the network complexity and focus also on sustainability in particular consuming less electricity as this is not only good for the environment, but also good for our P&L as it reduces the cost base on the energy side for the future. Now if we have a look at the mobile side, which is really the mobile network where the mobile network is the basis of a superior customer experience in the market. We were very pleased to achieve the highest ever measured score in the connected with 981 points out of 1000. I think this is absolutely outstanding achievement of the Swisscom mobile team, which is only possible with really this very high focus both on the rollout, but also working on our core infrastructure, making sure that it has a unprecedented reliability and performance. We will continue to work on this this year. We will continue to increase also the 5G plus population coverage. We hit the 81% mark end of last year. And we expect to reach 90% 5G plus coverage by 2025. We will also in parallel continue to execute the 3G phase-out, which will be completed by end of '25 to be able to use our electromagnetic resources and power emission fully in the 4G and 5G network to the benefit of our customers. On the wireline side, we see a similar picture. We're investing a lot in the quality, stability of the networks and in parallel the coverage. So you see on the middle in the top that we reached 46% FTTH coverage in Switzerland, which is a 3% increase where we provide up to 10 gig connectivity for our B2C customers and we expect to reach 57% coverage by 2025 and between 75% and 80% coverage by 2030. All of this will be done within our current CapEx that we allocate in Switzerland, which we intend to keep stable and we are confident that we can reach these targets with the money that we are -- have available for this activity. One point that we changed in last year in the strategy of the FTTH rollout is the handling of our copper network. So today we have a copper network and the fiber network, which are entirely run in parallel and we decided to starting to decommission our copper network where we have fiber available. And over the coming years, we will gradually migrate our copper-based customers onto the FTTH connections. This will result in a 50% reduction of our production locations over the next years until the rollout of fiber is complete in Switzerland. So this will be a more a 10-year plus undertaking. And over the time we will completely phase out and entirely shut down our copper network by the end of the fiber rollout. And this will according to our current estimation enable us to save in excess of CHF 100 million OpEx annually. We also made some decisions on the IT side. So we decided to change our architecture and move it or align it with the digital architecture of the TM Forum architecture to simplify the future renovation of our IT estate as all major suppliers in the telecom space are now also applying or building their product in accordance with the APIs and the architecture of TM Forum. It makes it easier to move to an API-based architecture to source certain specific functions across the board. And this is something that we will implement now in the coming years next to continually simplifying and modernizing our IT estate. At the end this will put us in a situation where we have a simpler leaner IT with a lower cost base. And maybe the most important point it will enable us to implement new products and processes much faster than we are able to do it today with a more complex architectural setup. On the simplification side -- no sorry on the stability and reliability side I mentioned several times that this is an absolute key aspect for our customers for the NPS of our customers and we will continue to focus very heavily on reliability, but also security of our networks. We have reinforced our KPIs to go to zero escalated major incidents within this year to further increase customer satisfaction with stability. And with the increased stability also continue to decrease the number of customer tickets and field force activities related to the network. So you can see that year-on-year we were able to decrease by 15% the number of customer tickets relating to network stability leading directly to less field force activities ultimately eliminating this cost. And this will be something that we will continue to focus on this year to make sure that the increased network reliability and security will also lead to less and less tickets and calls at the hotline. And ultimately we might be able to move to a zero-touch approach in networks. But this will still require quite a lot of work automation, AI investment to really be able to move into this famous zero-touch approach that all of us in telco dream about. On the simplification side, we will continue to heavily simplify our IT and network landscape. So far we have been able to remove 24% of our IT application estate since 2019. So we have made really great progress exactly according or slightly ahead of plan actually in 2023. And we will continue on this journey towards 2026 with an expected target of minus 33% compared to 2019. So effectively eliminating one-third of the IT application landscape that we had a couple of years ago which will further simplify increase our speed and reduce the cost base on the IT side. We have a similar picture on the IT and network platform side. So we managed to phase out 12% of our IT platforms and network platforms. And we will continue to work on this to reach at least 36% less network and IT platforms by 2026. This is to some extent linked to the B2B product transformation because many of the old networks are linked to the MPLS-based wireline products. So in line with the migration to new SD-WAN product base we can also migrate and shut off the old IP legacy network putting us into a space where we have completely decoupled products from the network allowing us really much higher speed and facilitated life cycle management in the future years 2026 and beyond. I previously already mentioned the expansion or in-sourcing of IT development capabilities. You can see this at the bottom in the middle in our DevOps centers in Riga and Rotterdam, we increased those centers to over 500 employees meaning an increase of 43%. And we are very pleased with this result. We intend to hire some more people to reach approximately 700 people both combined over Riga and Rotterdam really strengthening our DevOps capabilities across the network and the IT space, which is an important aspect for the future. Now one last word about our wholesale activities. I only want to focus on two points. We continue to focus on increasing our 5G roaming partnerships as this is an important aspect for our customer experience when our customers are abroad in foreign countries that they can effectively also profit from the 5G networks in the countries they visit. We managed to sign a lot of contracts in the last year and increased by 33% to a coverage now of 64 countries. So, there is obviously still some way to go, but also not all countries on the planet have already rolled out 5G networks to-date. And the other point, which is increasingly important with the ongoing FTTH rollout and copper phase-out. We obviously want to increase the monetization of our fiber rollout and make sure that connections are maximized on our network and also our competitors in the market use our FTTH network for their customers. With this, I will now hand over to Walter for Italy.
Walter Renna : Thank you, Christoph. Good afternoon everybody. 2023 has been a great year not only for Jannik Sinner represented but also for Fastweb in Italy. Here you can see the achievements of 2023 starting from delight customers. We have been growing in all metrics. Second best performer in the mobile market development, growing double-digit into the enterprise top customers, growing significantly also in the wholesale business. On top to that we have a very super-performing network, and I'm proud to say that for the third time in a row we have been awarded for the best mobile network in Italy by Okla. Also on innovation, we have done big steps ahead. We launched in December a partnership with Nvidia to implement in Italy the first supercomputer dedicated to artificial intelligence, which is a good opportunity to enter this market and win new customers. But we have also released new products in all our markets consumer enterprise, and wholesale in order to serve better our customers. And again, the network has continued to grow, both the FTTH and 5G, which are the pillars of our development over the next future. And then efficiency, we are on the way to become an efficient operator. We have worked a lot on the energy side, trying to reduce and optimize not only the consumption, but also the pricing structure in order to lower down costs. IT is another interesting area of efficiency where we have delivered in terms of reduction of IT incidents, which means lower operational costs at the end a better customer service. The very last point, we've also continued to work on reducing our space in the offices also leveraging on smart working. If we look to the market, the market in Italy remains very competitive. This is true, if you look to the consumer market, wireline is flattish in terms of line, on the mobile side, we see a slight growth, driven by the second and third SIMs related to IoT. Different story for the B2B. Yes, the telco market is flattish, but the ICT market is growing significantly. In terms of pricing in the consumer market, in 2023, prices were stable, but still low with a strong competition, driven by over 20 brands competing in the market. And during the course of 2023, also Enel joined the wireline market analyst incumbent on the electricity market in Italy. So they are very strong. From one side, this is a threat for the consumer market, but it's also an opportunity being one of our major wholesale customer. In terms of opportunity going forward, the low level of penetration of FTTH and 5G is for sure something that we would like to exploit, thanks to our positioning, a position, which is based on the quality of the network, FTTH, 5G, quality of the service that we deliver, thanks to a very high NPS in all markets and our strong proposition in the B2B, especially in the PA market. Also in wholesale, we have a strong position, thanks to our network, and we are investing a lot in IT and AI in order to exploit also these new markets. Our brand positioning with Tu sei Futuro and our significant ESG achievements are also playing a role in differentiating ourselves in this very crowded market. So, looking ahead, very simple strategy, the right customer work on the quality of service, we need to improve and deliver superior performance compared to the other players in the market. For sure, we will implement the new AI tools to be fast in adopting this technology and differentiate from the others, but also sell and upsell new services in order to increase revenues, but at the same time, lower churn and then expand our network, FTTH and 5G. Innovation will continue. As I said, the new services will be launched in all markets. For B2C, would like to enter new markets like energy, for enterprise, cloud, cybersecurity and artificial intelligence, but also wholesale, we see opportunity in the mobile and international business. And efficiency, we have put in place an organization with the tight cost management and control. We are boosting the agile adoption within our processes, and we would like to scale up AI. Thanks to GenAI, we believe we can implement, AI all processes of the organization driving our productivity and efficiency. Looking to our three business units consumer during the course of 2023, we delivered on a value strategy. We decided not to follow in the price war. We keep a premium offer in the wireline market. Yes it's true. We are losing a few lines in the non-ultra-broadband market but we were able to increase ARPU. Mobile is a different story. We are aggressive and growing. We have reached 3.5 million customers growing 14%, if compared to last year. And then churn is going down thanks to all the push and the investment that we are doing in offering the best service to our customer. Looking to the future, quality will remain key. As said, we will invest in AI to strengthen our service. We will also support our customer operation thanks to GenAI tools and grow in mobile. On top of that, we'll develop a domestic ecosystem of products, including energy, security and insurance. A push on sales, we are extending our network, our sales network, but we will also leverage an agreement that we signed with SKY in order to let them resell our offer under the SKY Mobile brand. And Revamp SME business small medium business is an interesting segment. We would like to push there because we see room for growth. Enterprise is growing very well. We hit 1.1 billion growing 10% over 10% compared to last year. It's interesting to notice that 60% of revenues already today come from value-added services meaning we are growing in beyond the core services. Overall market share is growing. We are at 35% and we have a leading position in all markets. If I look to the future, we will continue to push on FTTH. We will scale up cloud and cybersecurity business, where we bought a few small companies over the course of last year would like to consolidate and scale up our revenues there. 5G is another opportunity. We just entered 18 months ago. We are growing very well. We see another opportunity there together with the AI market. As said that the partnership with Nvidia put us in a distinctive position in the Italian market, which is worth to the 500 million, but is expected to reach 1.5 billion in the next five years. Wholesale we have delivered on our major customer deals namely Iliad and NL that we implemented over the course of 2023 and the results are super. We reached 650,000 lines plus 40% compared to last year and we will continue to offer to our customer a new solution like voice, services which is unique in the market because the other operator wholesale operator are just offering naked line or data lines. Looking to the future, we would like to continue to develop our key customers. We will implement digitalization in all processes and would like to enter the mobile business in the international business leveraging on the Italian strategic positioning of being that up for the Middle East and Africa data traffic. Network and IT, we focused on simplifying our access strategy during the course of 2023. We decided to focus gray and black areas on FTTH which is growing very well and to move FWA technology to white areas. So we have stopped any rollout activities of own infrastructure FWA in order to leverage the existing mobile 5G network that we are building together with WindTre. But also, we are investing in IT. We believe that IT can be a driver to improve the customer experience to our customer. We are transforming our app ecosystem and changing the way we're working in the business operation, in order to be more customer-centric in our assistance. For the future FTTH and 5G will be the key technology. As said, FTTH our target is to reach 39% population in 2024 and for 5G 80% population. And we will continue to invest in IT. We'll in-source key application. We will invest in cloud. We will invest in our own people and develop state-of-art AI within our processes. Last, but not least, our position in TU SEI FUTURO was way to differentiate in the market. We have successfully delivered on ESG. We got several certifications which are key to demonstrate our commitment to the society, standard ethics, gender equality, great place to work, climate leader are among the most important one that show our commitment and seriousness when it comes to ERG. For the future we'd like to continue like that we'd like to reach our target to become a CO2 neutral by 2025. We will continue to spread digital skills through our Digital Academy and to deliver on this matter. As a final remark, I will only say that I'm very happy about the development of Fastweb. We have been able to grow in revenues, EBITDA and free cash flow proxy and we would like to continue like that also in 2024. With that I leave the floor to Eugen.
Eugen Stermetz: Thank you, Walter. Hello, everybody from my side. Last, but not least, rock-solid financials. So I'll walk you through the numbers as usual starting with group revenue for 2023 which was CHF 11.072 billion, up CHF 21 million and exactly in line with our updated guidance. Net of the currency impact, the revenue is CHF 11.1155 billion and that's exactly in line with our original guidance at the beginning of the year. So underlying growth plus CHF 104 million Swisscom Switzerland minus CHF 63 million and Fastweb plus CHF 151 million. I'll walk you quickly through the individual segments in Switzerland B2C minus CHF 24 million. Service revenue was down by just CHF 18 million, but hardware revenues were also down. You remember we talked about this in the third quarter, when we talked about smartphone sales being down. Other revenues on the other hand were up with cinema revenues up year-over-year. So that gives a net minus CHF 24 million. B2B was down CHF 27 million. Telco service revenue down minus CHF 54 million compensating for that partly IT service revenue up plus CHF 32 million, but not fully compensating the service revenue decline. Wholesale minus CHF 10 million. Excess revenues are actually up, but there are also some more volatile items to the wholesale P&L like mobile back holding, et cetera and some of these were down termination. So, a net minus CHF10 million. On the Fastweb side, as we have heard, an impressive plus of CHF151 million, that's plus 6.1% growth across all segments, but obviously, mainly driven by the Enterprise segment. The Q4 was again very strong. You may remember in Q3, I flagged the risk of Q4 not being as strong as Q3 because in Q3 we had very strong one-off in hardware revenues. Now, that has repeated itself in Q4 another quarter of strong one-off and hardware revenues with some of the large accounts our customers. So, I'm going to push forward that flag that I did in Q3 and probably growth in 2024 in the Enterprise segment will be softer than what we saw over the last two quarters. You can't do that every quarter, but I'll get to that when we talk about the guidance. On to Swiss revenue. No big news -- no big surprises certainly. So, if you look at the composition of Swiss revenue service revenue minus CHF72 million, mostly driven by B2B minus CHF54 million. B2C was almost flat with minus CHF18 million, very much in line with what we have seen over the whole year. IT service revenue was up. We heard from Urs, that's very positive, 2.8%, up plus CHF32 million. Part of it was non-organic of plus CHF14 million. But still as we heard there are pockets of organic growth that we were able to exploit this year. Hardware and software sales were down B2C and B2B, but mostly driven by the B2C effect of lower handset sales. This seems to be a market trend that we see in our own channels, but also in partner channels. It has gone back a little bit in Q4, but in Q3, it was quite a pronounced effect. Wholesale, we talked about other revenues were up by CHF12 million among others, driven by improved revenues of our cinema business. Top right service revenue evolution over the last couple of quarters, a very, very stable trend as you can see since the first quarter of this year. B2C almost flat throughout the year. B2B with a run rate -- quarterly run rate of about CHF10 million to CHF15 million minus. And right now, we don't see any change in this trend. There is no structural disruption to this trend except for one point, which I'll get to when I talk about the guidance later. Bottom right the individual drivers of service revenue this time the annual figures, normally we show the quarterly figures here this time the annual figures. So, it gives a very good overview of what's going on behind the service revenue evolution. B2C wireless, basically stable. So, we gain from new subscription, mainly on the second and third brands and there is a balancing ARPU dilution effect that Dirk already talked about. And all-in-all, it's a stable development which is obviously very positive. Also on the wireline side, the minus 15 wireline B2C. There is a lot of movements behind, but is essentially what we find in the end is the net effect of voice land losses, which is about CHF20 million per year and all the other effects were able to compensate by a higher ARPU. On the B2B side, wireless minus CHF21 million, wireline minus CHF33 million. So, there's two different drivers behind there. In the SME business, we are slowly losing customers, but at stable ARPUs. And in the corporate business, it's a bit the other way around. We retain our customers but prices go down although the price decreases in particular on the wireless side have flattened out a bit, as you can see if you compare the numbers to the same numbers in the previous years.  Next page group EBITDA. Group EBITDA, was CHF 4.62 billion, up CHF 216 million. Now we know already since the beginning of the year that we have two special effects in these numbers. One is the famous pension effect. We had lower pension expense according to IFRS this year, due to the higher interest rate compared to 2022. This was plus CHF 90 million. I'm not going to talk about this anymore, I explained it a couple of times. And there is a number of exceptionals plus CHF 109 million. And before I go to the operating items, I briefly explain what's going on behind this number. Now first of all, last year we had exceptionals of CHF 152 million. You may remember the provisions we booked for regulatory and competition law proceedings. So that was CHF 152 million. These obviously, now show up as plus in the year-over-year numbers, point number one.  Point number two, this year in 2023, we had net adjustments of minus CHF 16 million net adjustments of minus CHF 16 million. And there are two components behind that. On the one hand on the Swisscom side, we had releases of provisions in particular in the fourth quarter but there was also a small item in the second quarter of CHF 57 million in total. And on the other hand also in the fourth quarter, we booked a CHF 60 million one-off expense at Fastweb in connection with the strategy change of fixed wireless access. And in the second quarter, we booked CHF 13 million provision in connection with the four weeks billing case that I explained in Q2. So that nets out to minus CHF 16 million in the fourth quarter. And then on top of that, we had an FX effect of minus CHF 27 million with the weaker euro and all these numbers add up to the plus CHF 109 million. All of this is hopefully, well explained on Page 69 of the analyst presentation. It's a bit spread out over the individual segments, as you will see in the facts and figures and it's always a bit spread out over cost categories. So the reported numbers may look a bit confusing. But if you have any further questions on top of Page 69, please get in touch with our IR department and I'm sure that will be -- they will be happy to serve as well with additional explanations. So with that out of the way, let's talk about the operating performance of the business. Swisscom Switzerland stable as guided at the beginning of the year, with an EBITDA of plus CHF 8 million. First B2C. B2C was stable so we were able to compensate for the little service revenue decline we had by cost savings. That's a plus one year-over-year. B2B minus CHF 23 million service revenue decline is more pronounced in B2B as we saw. So cost savings and additional profits from the IT services business cannot fully compensate the service revenue decline.  Wholesale was flat. Infrastructure and support functions obviously up plus CHF 35 million, with the cost savings occurring in this segment. Then on to Fastweb, plus CHF 18 million or plus 2.1% in EBITDA also as guided and this is obviously the consequence of the higher revenues. The marginality of these additional revenues is somewhat lower, as the mix is very much buyer-starts B2B and within B2B buyer-starts hardware and one-off. And so the EBITDA growth is, obviously, not in line with the revenue growth. I'll move on to the next page EBITDA in Switzerland. Not much to say except for one very important part of this chart, which is the change in indirect costs in the telco business. We again delivered on our promise to save costs in the telco business. So we had plus CHF60 million or CHF60 million less cost less indirect cost in the telco business in Switzerland. The quarterly run rate is quite interesting. If you look at it you can see what happened over the course of this year. So starting from Q2, the quarterly run rate is a bit lower. I always caution against too much attention to quarterly rates but it's quite notable here. In Q2, the salary increase is due to inflation in Switzerland hit. And so the net savings figure has come down and totals CHF60 million as shown on the chart. Speaking of cost savings, the next page 56 shows the buildup of the cost savings over the course of the year with the CHF60 million delivered for the full year. This corresponds roughly, not entirely, but roughly to CHF100 million gross savings. Now what is in between the net savings and the gross savings? There is two items in there. One is the salary increases I just alluded to, which cost us about CHF20 million. And the other item is increased energy costs this time on the Swiss side, which increased cost in a similar amount so the CHF60 million -- sorry corresponds to roughly CHF100 million gross. Now on the right-hand side, we talk about our ambition obviously looking ahead, achieving more with less as Christoph already pointed out remains a top priority in the business. Our ambition to realize cost savings in the telco business is unchanged. And we are planning for cost savings net, I'm talking about the net figure at the minimum of CHF50 million per year with the ambition to compensate for any future telco service revenue pressure that we might see. On to CapEx not much news. Overall CapEx was stable at CHF2.3 billion. I would like to point out on the Swiss side a very important bucket is the fiber CapEx. We spent CHF466 million in Switzerland on the fiber rollout. Now this number is somewhat lower than the envelope we communicated for the fiber rollout in 2023. We finished the FTTS rollout. And at the same time we redesigned the FTTH rollout from the point to -- multipoint to the point-to-point topology. And so we slowed down things a little bit. But the guidance looking ahead is CHF500 million to CHF550 million of fiber CapEx in Switzerland within an overall CapEx envelope of CHF2.3 billion, which is unchanged as Christoph already pointed out. Free cash flow next. Free cash flow was at CHF1.48 billion, up CHF131 million obviously very much driven by the increase in EBITDA. There is just two compensating factors. One is negative net working capital. This was very much driven by the decrease in provisions we had from 2022 to 2023. So that's a negative net working capital position for this year, but nothing structural going forward. And secondly also, obviously, the famous pension expense, which came down in 2023, thereby, increased EBITDA but it's a non-cash position. So it drops out here in the free cash flow bridge again. And this leaves us with a plus in free cash flow of CHF 131 million. Net income. Next net income is CHF 1.11 billion up CHF 109 million obviously driven by the increase in EBITDA and EBIT. The only compensating factor here is the financial result which was lower than last year. We had an exceptional positive effect in the previous year. So this is why there is a change. But going forward the minus CHF 130 million are the relevant number. And apart from that there are no big changes here in the bridge. Obviously we are very happy with this result. On the balance sheet we decreased our net debt to CHF 7,071 million. So net debt has come down and at the same time leverage has come down to 1.5x. Our credit ratings are excellent. Standard & Poor's put us on a positive outlook during the year and Moody's upgraded us by one notch to A1 stable. And all-in-all, obviously, our balance sheet with these numbers is as strong as ever. Now finally outlook for 2024 guidance. The guidance for 2024 is revenue CHF 11 billion -- approximately CHF 11 billion; EBITDA CHF 4.5 billion to CHF 4.6 billion; and CapEx CHF 2.3 billion. I'll walk you step-by-step through the individual items. Revenue first. So revenue was CHF 11.02 billion in 2023. Outlook is CHF 11.0 billion. So there is a minus implied by that guidance. Where does it come from? Quite simply foreign exchange. We used for the guidance a Euro-Swiss franc exchange rate of EUR 0.93. So much lower than the one we had in the financials in 2022. And this alone is a minus of CHF 100 million on revenue. Apart from this technical effect on the Swiss side, we guide for a stable revenue with service revenue down on the one hand, but IT service revenue up on the other hand and compensating for the service revenue decline. On the Fastweb side the guidance is for an increase in revenue by 2% to 3%. So opposed to the 6-plus percent we saw this year that's a lower guidance for the growth 2% to 3% still very strong growth but that takes account of the fact that we had a lot of one-off business in the B2B segment in the third and the fourth quarter of 2023. That's revenue. EBITDA next. So for EBITDA I'll start with the technicalities to get that out of the way. First of all, starting with CHF 4.622 billion in 2023. We have to add back the adjustments of 2023, which are a net minus CHF 16 million as I explained previously. So that yields an adjusted EBITDA of CHF 4.638 billion as you will find on Page 69 of the analyst presentation. Now the next step is FX again the lower euro-Swiss franc exchange rate that will cost us compared to 2023 a minus CHF 40 million. Next step again pension. Fortunately not as big as this year but still an effect. This time the other way around. So from pension we have an effect of minus CHF 20 million because interest rates have come down again a little bit. And so this pension expense goes up again. So I repeat. Adjusted EBITDA CHF 4.638 billion minus CHF 40 million FX minus CHF 20 million pension. So the starting point for the EBITDA guidance for the operating EBITDA guidance is really CHF 4.580 billion and already in those brackets of CHF 4.5 billion to CHF 4.6 billion. Now operating on the Swiss side, we see a risk of minus CHF 50 million on top of these technical effects. Why is that? I said before that we plan and expect a service revenue decline and cost savings in principle in line with what we saw in 2023, where we had a small gap of maybe CHF 10 million or CHF 12 million between the two. And we do expect the same for 2024. However, there are two factors that might drive a wedge between those two the service revenue decline and the cost savings and I'll walk you through them. One is VAT. VAT rate goes up -- already went up in Switzerland beginning of the year. And already last year, we decided not to pass on the VAT increase to our end customers. And this decision we are very happy with this decision. We think it's a very good investment in our future customer satisfaction and NPS numbers, but this decision will cost in particular in 2024 and that's an amount of about CHF 20 million. So it's a risk to the service revenue decline which we might not be able to compensate for. Point number one. Point number two, on the cost side of the equation, we decided to invest in some of these growth areas that will ensure the stability of the telco business in the future. Some of these were mentioned today like the insurance business the converged connectivity offering on the B2B side and we will have start-up expenses on the OpEx side for launching these initiatives in 2024. And the amount is about the same also CHF 20 million, a risk to the cost side which we might not be able to compensate for. So all in all, this gives a risk of minus CHF 50 million on the Swiss side. Finally, Italy. In Italy, we expect growth of EBITDA in line with revenue 2% to 3% growth which is a plus of about CHF 20 million. CapEx simple. CapEx will stay flat at CHF 2.3 million fully accommodating the accelerated fiber rollout that we talked about. And if all those numbers come as planned, we will propose again a dividend of CHF 22 per share payable in 2025. Over to you Louis. No?
Louis Schmid: First a wrap-up.
Eugen Stermetz: Over to you Christoph for the wrap-up.
Christoph Aeschlimann: One final slide before we move into Q&A. I believe that we delivered on all the 2023 goals, which provides us with a excellent basis for success in this coming year. We have a solid strategy in place with very ambitious targets for 2024. And we have also last year and this year worked on innovative new propositions, new products, new services which is an important element to stimulate future revenue growth. Obviously, this revenue growth will not come immediately in the next month, but has to build up over quarters or years. But I think it's an important investment in the future of the company 2025 and beyond. This puts us in a position where we continue to focus on free cash flow generation, which is at the heart of what we do at Swisscom to enable you or to enable us to pay you attractive dividends also in the future. With this I hand over to Louis.
A - Louis Schmid: Thank you, Christoph. And now it's time for the Q&A session. [Operator Instructions] And the first question comes from Polo Tang. All right. Maybe we should move to the next one. Josh Mills?
Polo Tang: Can you hear me now?
Louis Schmid: Okay. Polo yes, now we can hear you.
Polo Tang: So thank you for the presentations. I just have three questions. The first one is really just about the trajectory of Swiss service revenues, because if I look at Q4 2023 versus Q3, there was obviously a bit of an improvement. But how should we think about the trajectory of service revenues into 2024, but also beyond? You obviously flagged the CHF 20 million impact from the increase in VAT, but offsetting that, is there any signs of easing promotional activity? And is there any potential to increased prices or reduced promotions in 2025? So that's the first question. Second question is really just a bigger picture question on M&A. Just to understand how you think about the parameters for what Swisscom can or cannot do. So specifically, is the government-imposed threshold of 2.3 times leverage a ceiling or is there flexibility to increase this? Separately, would there be circumstances where you would consider M&A that would result in free cash flow not covering the dividend? And my third question is just on Fastweb. You mentioned that you're continuing your joint 5G rollout with Windtre and stopping your own fixed wireless access rollout. But how easy would it be to unwind the Windtre partnership? Thanks.
Louis Schmid: Thank you, Polo. The second question will be answered by Christoph and the third by Walter. And then we decide on the first one. Christoph on M&A?
Christoph Aeschlimann: You don't want to answer the first question?
Louis Schmid: Sorry?
Christoph Aeschlimann: The first question?
Louis Schmid: The first question we take at the end or...
Christoph Aeschlimann: Okay. So I mean on the M&A side, if we look at Switzerland, we have continuously invested in strengthening our IT positioning and acquiring small to midsized type IT specialist companies and we will continue to do this in the coming years. But typically these are rather small-sized investments which are not concerned by let's say the caps you alluded to by the majority shareholder or creating a dilution on free cash flow. So I think that's for the Swiss side where M&A is mostly focused on enhancing our IT service capabilities. Now, if we look at the Italian side, we are happy shareholders of Fastweb. We have seen 10 years of consecutive growth. We have now guided again for another year of growth in Italy. So we strongly believe in the success of Fastweb and we are committed to Fastweb and Italy. And I understand that the potential around consolidation is an exciting topic, but you will also understand that I will not comment on potential consolidation questions in Italy and the impact on leverage and free cash flow generation.
Louis Schmid: Thank you, Christoph. And Walter?
Walter Renna : Yes. On FWA if I got well the question, we can use the mobile 5G network that we are rolling out with WINDTRE to offer also FWA service. This is perfect allowed and in line with what also WINDTRE is doing on its own.
Louis Schmid: Thank you Walter. I think the service revenue question will be answered by…
Eugen Stermetz: I can start technically and maybe then Dirk -- so from the technical side, as I explained, right now, we don't see any drivers that would significantly change the dynamics that you have seen over the last couple of quarters. I would not read too much into a quarter-over-quarter fluctuation from the third to the fourth quarter, but rather look at the stable picture over the last couple of quarters. This is the best information we have and we don't see any structural changes except obviously for the point I flagged around VAT. In terms of potential to increase prices, et cetera, et cetera on the B2C side maybe Dirk, it's much better if you say a few words on that topic.
Dirk Wierzbitzki: Sure. So there was also the part of the question in terms of where do we see the promotional activity going in. As I explained already in 2022, on the main brand, we have substantially reduced our promotional activity. If you look at mobile subscription there's hardly any promotional activity on the main brand. There's a bit on the broadband side of the business. And also important, is that last year in, I think, it was in Q2, we also changed the promotional activity on the second brand on a sub-brand, particularly the second brand. For a little while, we used to also in certain promotional activity times to do some price matching with the competition. We are going away or we have gone away from that. We believe that for the products that we have for the network that we have and so on we can also ask for price premium even in the budget segment. So our prices are in the order of magnitude 10% to 15% higher. And I think we want to continue that approach also into 2024. And then as I said earlier on, we do see opportunities working with the customer base. There's quite some customers that are on older tariff plans that also then obviously has less into it less speed, less entertainment, lesser than that. And we want to strengthen our effort to develop them also into the contemporary into the front book tariff plans, which does mean a bit of an ARPU or revenue uplift from the customers in exchange obviously they get much more for that. And then as I said, we do see opportunities in cross-selling the FMC penetration, I think offers room for growth similarly also the household penetration. How that all then pans out across the year, I think, is really also depending upon how the competitive play and pans out. We have seen various movements in the last year at times also reduced promotional activity from competition but then at times, for instance, in around Black Friday or Black November, again, intense promotional activity. I think it's too early to say how everything really, really shapes up. But clearly our strategy is one of focus on quality and value and attractive offerings and not on the lowest price.
Louis Schmid: Thank you, Dirk. We can't hear you, Polo.
Polo Tang: Sorry. Can I just check if you mentioned price rises in B2B?
Eugen Stermetz: Price rises in B2B, no, we're not mentioned.
Polo Tang: No. Thanks.
Louis Schmid: All right. Thanks very much, Polo. Next question comes from Joshua Mills. Okay. Shall we take the next -- okay, Josh. Okay. Hi, Josh.
Joshua Mills: Louis, can you hear me now?
Louis Schmid: I can hear you or we can hear you.
Joshua Mills: Okay. Thanks. Yes. So a couple of questions from my side and I'll keep them focused on the fiber. During the presentation you've talked repeatedly around the evidence of this is now the kind of preferred technology in the market. I wondered if you could put some more color around that either by giving an indication on the kind of ARPU uplift on Net Promoter Scores you see in fiber areas versus non-fiber areas, and how you're using that technology to win back from cable would be the first question? And then on the second question, I don't believe you're doing any more expansion at the moment with the Swiss Fibre Net and the utility companies where you used to co-invest. Has there been any more co-investment or changes to that relationship in the last year or so? Thanks.
Louis Schmid: Thank you, Josh. I think the first question might be answered by you Dirk and the second one by you Christoph.
Dirk Wierzbitzki: Okay. So in fiber, obviously, there's the portfolio that offers then speeds that you can only get with fiber. It's 10G for the -- what we call the LDL offer or the medium-sized offer is 1-gigabit where you actually on copper with zero fast you get around, depending upon how far you live from the distribution point you get like 200 to 400. So you get the full 1-gig in the -- at the M tier and at the L tier you get the 10-gig. And that obviously is something that we do see in the mix that we have, which is skewed towards then the higher tier tariff plans that we have, yes. From the top of my head, an ARPU figure, I would need to really look that up but it's in the order of magnitude I believe CHF 4 to CHF 5 that we get, when we look at copper towards fiber as a difference. Which is mostly then it's the same portfolio but obviously with fiber you get speeds that you otherwise cannot get or you get the full fulfillment of the speeds as advertised and sold in the subscription yes. So that's probably the difference that we see there and that's also an opportunity that we unleash. And what we also see is in areas where we build out fiber, we can achieve within the first 12 to 18 months roughly 3% to 4%, sometimes 3% to 5% penetration gain. So really new technology, new opportunity credible competition against for instance customers that have been served with cable does yield us penetration gain where we build out fiber.
Christoph Aeschlimann: Thank you, Dirk. So on the second question, Swiss Fibre Network is let's say a provisioning or wholesale platform aggregating the utility footprint in Switzerland. And to my knowledge, we have never built out FTTH footprint with SFN in the past. We have explored the potential collaboration in some municipalities. But so far we did not build a joint footprint together. What is important though is that we are continuously looking for partnerships to build out fiber footprint. So year to – or let's say to-date about 70% of our fiber connections have been built in collaboration with local utility companies. And we are continuing to negotiate with a number of utility companies all the time to make sure that we can actually lower the cost of rollout and move faster or build more footprint with the same CapEx envelope. And we will continue to do this in the coming years when we roll out fiber throughout Switzerland.
Louis Schmid: Thank you Christoph. All good Josh?
Joshua Mills: Okay. Thank you.
Louis Schmid: Thank you very much. Next question comes from Georgios.
Georgios Ierodiaconou: Hii, guys. Thank you for taking my question. It's Georgios from Citi. If I could start with the first one it's actually on the B2B side. You mentioned I think Eugen that you are seeing an improvement on the mobile pricing and indeed the service revenue has been improving during the year. What we have seen is on the fixed line side at least in the fourth quarter, there's been some deterioration in service revenues. So I'm wondering if there is other dynamics on the fixed line we should worry about or whether this is a temporary maybe special event for the fourth quarter? And any comments you can make on the profitability going forward with this growth in ICT. You highlighted the potential to improve margins there. If you can perhaps give us some indications as to how you are thinking about the next couple of years on B2B margins. And then my next questions are mainly on Fastweb. In a couple of areas first as a follow-up of what Polo asked earlier around the move to this network slice with WindTre. My understanding is this agreement has been there for five years but you chose not to put all, the spectrum that you have in the slice, so why the change now? The CHF 60 million is it just to terminate leases with tower companies? Or is it some investment you need to make to get access to the network? Just curious, as to how it works in terms of the commitment you have to the network itself. And as a follow-up in the future if you wanted to add a lot more spectrum whether that will come at an extra cost or whether that wouldn't be the case? Thank you.
Louis Schmid: Thank you, Georgios. First question will be answered by Urs.
Urs Lehner: Yeah. Pleasure. Starting with the question around the fixed evolution in Q4, I would definitely see it more as a special event due to certain specific customer decisions and the implementations of projects in Q4. I don't see an underlying trend in the fundamental manner towards the future. Your second question concerning profitability improvement, I definitely can say that our ambition is at least to deliver a one point-plus percent margin per year over the next three years reaching to let's say, a sustainable level which is at least on a market level as a medium profile of profitability in IT services. So I would argue over the next three years you can expect some improvements as they have been showed over the last two years.
Louis Schmid: Thank you, Urs. And the last part you, Walter?
Walter Renna: Yeah. On FWA just to clarify we hold 40 megahertz 3.5 gigahertz spectrum that we have been since the beginning put within this slice network with WindTre to develop the 5G mobile network, right? The reason is that with the acceleration of FTTH plans in Italy thanks to FiberCop we decided to focus FTTH in gray and black areas. And then, utilize the Slice 5G network for FWA in white areas since now the coverage allow us to cover such areas. As I said, now we are at 72% of population coverage. So we are now covering exactly the white areas where we want to develop FWA, regarding to the cost Eugen, if you want.
Eugen Stermetz: Yeah, related to the CHF60 million you mentioned this relates more to write-offs in current assets such as inventory commitments to suppliers also write-off of short-term assets such as prepayments and the likes. So it's a whole list of smaller things contractual payments et cetera. This is the amount reflected in EBITDA.
Georgios Ierodiaconou: Sorry. So just so I understand you better, there is some spectrum at 28 gigahertz that you are going to be utilizing now within the slice as well or is it just a 3.4 that will be used for the service?
Eugen Stermetz: Just the 3.4.
Georgios Ierodiaconou: Just the 3.4?
Eugen Stermetz: Yeah.
Georgios Ierodiaconou: Okay. Thank you.
Louis Schmid: Thank you, Georgios. Let's move to the next question coming from, Nawar. Hello, Nawar?
Nawar Cristini: Hello. Are you able to hear me?
Louis Schmid: Yes. Now its works.
Nawar Cristini: Brilliant. Thank you very much. Thank you for the helpful presentation. I have some questions on Switzerland first. And then on the guidance at the group level. So starting with the Switzerland, you have discussed in the presentation the wholesale opportunity and you've mentioned that both your competitors are gradually moving their subscribers to your fiber network. How excited are you about this wholesale opportunity? How large is it? If you could give us a bit of color about how big could be this opportunity for Swisscom that would be helpful? And also, if you could discuss the timing because I guess that we're talking more medium- and long-term. So any color on the timing as well when this will be visible in the numbers that would be very helpful? And then on the guidance, when discussing the guidance building blocks you have called out a risk of 50 million from the VAT elements and also the start-up costs from the growth opportunities. And if I'm correct you mentioned that you might not be able to compensate for these elements, which gave me the impression that maybe you might be able to compensate for those elements and also the fact that you are calling them risk opens up that question. So could you discuss, what are the other elements on the upside which could help you neutralize parts of or all of this risk? That would be very helpful. And lastly, on the cost savings you are guiding for more than 50 million. It will be helpful, if you could give us some color about the building blocks in terms of the gross savings and the headwinds coming from the salaries and energy costs? Thank you. Very much.
Louis Schmid: Thank you, Nawar. First question goes to you Christoph. And second and third question mostly to you, Eugen.
Christoph Aeschlimann: So, thank you Nawar for the wholesale questions. I think, I mean, in general, I am quite excited about the wholesale opportunity, because it is the first time since a long time that there is actually a growth opportunity in wholesale. So, from a structural perspective now that fiber is growing that you can actually try to attract more broadband connections also from the cable base and try to move them to the fiber base, which was obviously not possible before when copper was competing against the cable footprint. How big this opportunity is, is really hard to tell. What I can tell you it's not a short-term silver bullet. And so I think it is rather a medium- to long-term trajectory we are looking at because on the one side first we need to build out the more fiber footprint to cover a large part of the country which will already take us until the end of the decade. And then over time, I think we need to see also customer behavior. Are customers really moving to fiber? How do you -- how is the competitive dynamics of the cable footprint versus the fiber footprint? And this will determine how big the opportunity really is. But that's sort of my take on it. So too early to give numbers, but definitively I would say a watch-point or a positive watch-point for the future.
Eugen Stermetz: Okay. On your second question, so yeah, understood me perfectly well. It's exactly how I phrase and why I phrase it this way. Obviously, we do have the ambition to compensate but we don't have the specifics right now. Otherwise we would have talked about it. What are the levers we have short-term in such a situation mainly on the cost side mainly on the cost side. But as you know also on the cost side we go about cost savings in a very long-term manner with long-term projects focusing on the main levers that deliver long term. So, yes, maybe on the short-term we have lever the cost side. On the service revenue side it's not really in our hands. It depends much more short-term on the competitive intensity. Obviously, we're talking about small numbers. So shift in service revenue could make a difference. But as I said that's not in our hands. But on the -- in terms of general intent of our communication you got it right. Point number three, the buildup of the savings. So I talked about CHF 50 million minimum net savings. In 2024, this probably corresponds again to roughly CHF 100 million gross savings because we will have again a hit on salary expense of roughly CHF 20 million. We will unfortunately have again a hit on energy expense in Switzerland because regulated energy prices went up again. So the picture in 2024 will be quite similar in terms and net savings to what we had in 2023. Long term however -- long term, however, I think -- I repeated this many times long term CHF 100 million gross is not feasible because simply mathematically at some point you don't have any costs left. So this is why we think it makes more sense to articulate a cost ambition of CHF 50 million plus net and to talk about the net ambition because we also don't want to confuse ourselves and you guys with gross and net numbers over the next coming years. So CHF 50 million net minimum with the ambition to compensate service revenue decline is the midterm guidance we would like to give today.
Louis Schmid: Thank you, Eugen.
Nawar Cristini: That’s very helpful. Thank you.
Operator: Thank you, Nawar. Next question comes from Andrew.
Unidentified Analyst: Hey, everyone. Good afternoon. I had two questions just both relating to digital infrastructure and your ability to monetize fiber. So just first off just -- do you think the regulatory setup in Switzerland and your wholesale agreement with Salt allows you to develop pricing power and fiber within a network market landscape that looks more like an oligopoly than a duopoly? That question goes for wholesale and retail. And then secondly, just quickly around your OpEx savings targeted by the end of rollout of fiber to the home for CHF 100 million that's not much more than a percentage point of EBITDA margin improvement and looks quite light given all the areas of efficiency you highlight and versus maybe if we look at a peer like BT that's targeting GBP 500 million of savings or 2.5 percentage points of margin expansion by 2028. Just so the question really on that is how should we think about the risk or upside opportunity to a CHF 100 million savings guide? Thank you.
Louis Schmid: Thank you, Andrew. Both questions go to Christoph.
Christoph Aeschlimann: Okay. So on your -- the first question in terms of pricing development with the fiber rollout. So I think on the wholesale side we offer non-discriminatory pricing with the same price for all the market participants. And the pricing logic in the wholesale market is more sort of a cost-plus oriented structure. So I think the room for increasing prices or extracting more value from the build on wholesale is quite limited by the regulatory framework and needs to ensure that everybody is treated in the same way. What we, obviously, need to make sure is that on the B2C side and the B2B side, we are able to monetize the fiber footprint by increasing penetration by increasing ARPU levels and convincing customers that the fiber connection has more value. But then at the same time you have competition with let's say the likes of salt, which operate at much lower price points. So we will see over time how this plays out on the service revenue impact and maybe like we have some positive effects on ARPU and penetration and maybe some negative effects with let's say a price aggressive competitor in the footprint, which is -- and we will see how this evolves over the coming years and it's too early and difficult to tell over time. Now the cost savings of CHF100 million, it's a first estimate of what we think is achievable that it might be possible to extract more cost savings over time. But we will build in these cost savings in our yearly guidance over the next years. And what is important to understand also on these cost savings most of them accrue only at the latter end of the copper phase-out when we can really turn off the exchange, the local exchanges and dismantle the equipment completely, making sure that for example energy consumption, which is an important driver in the cost savings really occurs because we turned off the full equipment in a local municipality, because as long as you have still one home running on copper in a municipality, I need to operate my local exchange at full capacity in terms of equipment. But on maybe some other cost-saving elements such as less field force, less tickets, because today we have four times less customer incidents on fiber connections and on copper connections those will obviously accrue year-on-year as soon as we start migrating a copper connection to fiber. So you will see this CHF50 million net ambition over the coming years will be in partly generated by the copper phase-out. And then we will see if in the let's say 2030s, we can accrue more savings and might be able to exceed the CHF100 million ambition that we set ourselves today.
Louis Schmid: Thank you Christoph.
Unidentified Analyst: Thank you. That’s very helpful. Thank you.
Louis Schmid: Next question comes from Usman [ph]. Bye Andrew.
Unidentified Analyst: Hello, gentlemen. Thank you very much for the opportunity. I've got two questions please. One on Italy specifically the -- just coming back to the agreement with WindTre and one on AI. On Italy, I just want to get it right. So you had an existing FWA network. And now you're saying that this 5G sharing agreement with WindTre now it's developing into these more rural areas where I guess you had your existing network. So you feel like you can decommission that network and allow this partnership with WindTre to develop into these other areas. My question was, why did you not just contribute this network on FWA that you had into the WindTre JV rather than kind of decommission it and end it so to speak? Just trying to understand better, please. And then the question on AI was in your CapEx envelope, I didn't see much in the way of additional investment going into the compute infrastructure that is needed. And I wanted to ask in AI are you positioning for model training? Or are you positioning for fine-tuning of models? Because obviously, the CapEx is quite different in these two areas. And the fact that I saw it, with the agreement with NVIDIA in Italy for example you've got 30 GPUs from NVIDIA. Is that enough to take advantage of this revenue opportunity that you mentioned, which would be CHF 1.5 billion in five years? Thank you. 
Louis Schmid : Thank you, Usman. The first question will be answered by Walter and the second part -- or the second question by you Christoph.
Walter Renna : Yes. So, again on FWA so you got it right. So the idea is to exploit the 5G network that we are building to Italy. Now we cover 70%. Next this year, we reach 80% so we are covering rural areas and FWA technology based on 5G 3.5 gigahertz, is perfect to deliver above 100 megabit speeds fixed wire services, which is great in these areas where you can only offer broadband services copper-based, max 20-megabit per second speed. So this is a great opportunity in our opinion, and we will as said use the agreement with Slice. Why we are not contributing the existing network on the gray areas, the reason is that FTTH in such areas is more performing, more sustainable. And therefore, we as Fastweb will use such network but also Wind is our wholesale customer is exploiting FTTH in the same area.
Louis Schmid : Thank you, Walter. Christoph?
Christoph Aeschlimann: So in other words, we believe that the old network is not competitive towards against FTTH [indiscernible]. On the AI side, so the CapEx required to build out the AI compute infrastructure is included in our overall CHF 2.3 billion CapEx envelope. And the way we think about this is that we started with a let's say, reasonable investment in both countries, which allows us to build up a first AI compute service or compute as a service offering in those markets, to be able to train, fine-tune and run models for inference. Obviously, our target is not to be able to train LLMs on a huge scale. For this you need a much larger infrastructure, which is very costly. So I think the focus is more on smaller models for training. And then also on the fine-tuning and the inference side, you can also run larger models on the same infrastructure. And as we manage to sell this infrastructure to B2B customers and we sort of fill up the compute infrastructure, we will go on and continuously order more and more hardware on as let's say pay-as-you-go basis. So, there is no need to order thousands of GPUs before we have sold them. And I think once we also contract revenue, we will increase the CapEx levels in those areas.
Louis Schmid: Thank you, Christoph. Okay for you Usman?
Unidentified Analyst: Yes. Great.
Louis Schmid: Okay. Thank you. Bye, bye. Next question comes from Steve Malcolm.
Steve Malcolm: Hi, can you hear me?
Louis Schmid: Yes. Hello Steve.
Steve Malcolm: Hi guys. Good afternoon. Thanks for taking the call -- taking the question and thanks for call. Three questions sort of standard three if that's okay. First of all, just on Swiss competition, you have put a nice slide on Page 18 that sort of shows your NPS scores against your two major competitors. And I guess one could kind of overlay that against your improvement in service revenue trends, which has been very impressive in the last couple of years. I guess are you seeing any change in the NPS profile of your rivals? I mean one in particular as you gone through a major rebranding hasn't been a huge success. And if they were to start improving might that make you think about your kind of reticence around promotional activity? So, just a question on what you're seeing from your competitors in terms of NPS scores? Secondly, just on Fastweb growth overall, I mean in Q3 you talked about getting hardware and one-off revenues from I think the European Recovery Fund. You've kind of suggested that was the same in Q4. And when I sort of look at the pre-Q3 run rate, it looks like you've booked about CHF60 million of extra revenue in the second half from those sort of low-margin sales. Now, if I back that out for 2024, as the starting point, your 2% to 3% growth actually looks like an acceleration. Underlying it looks like kind of 3.5% ex that one-off sale in 2023. Take that out it's like 4.5% in 2024. Or are you expecting more of those revenues in 2024? Is that the kind of missing piece? So, just sort of clarity on what you're expecting in 2024 in those sales would be great. And then finally just on software spending. Some interesting points there, but I'm still struggling to understand what the sort of message is on overall spending. If I think about your software spending in 2023 as being CHF100 million, I don't look forward four or five years are you sort of suggesting that once you've done all the simplification moved off-prem and all that kind of stuff, you're looking at kind of CHF95 million or does nominal spending kind of stay the same on a five-year view? So, any color you can give on what your overall software spending is would be great. Thanks a lot.
Louis Schmid: Thank you very much Steve. First question goes in the direction of Dirk NPS. Second question, financials in Italy, Eugen. And then last question software spendings, Christoph.
Dirk Wierzbitzki: Okay. Well, with respect to NPS, I mean you referred to the chart on the Page 18, where you see let's say our scores relative to the competitor scores in the last couple of years. Now, to put some whatever more light into our results, clearly, there's those pillars around product which is fixed with broadband and then mobile. And there we are really like on a different league. I mean I know that sounds like arrogant, but it's really like the appreciation of our connectivity product is super-high, actually much higher than sometimes the test results also suggest that you would say, okay, the competition is just slightly behind us also. The differences in customer perception as we measure them with our customers, but then also with a bench of the competitors' customers is much, much bigger. Second dimension is everything that relates around service, be it customer cares or hotline, be it the shop and the retail network, but even also possibilities that we offer in the digital space and so on and so forth are super-high appreciated. And then lastly, there's a bit of like intangible thing that is like sympathy towards the brand, yes. I don't know it's a big word, but people just love us. I mean they really like us. This is probably let's say the entirety of what we actually deliver and how we are perceived and what Swisscom as an entity, as a company does beyond products for the country, for the public, for participation of young and old for delivering connectivity not only where it is easy, but also where it's difficult in the mountains and so on and so forth. I think there's a whole brand recognition that plays a really, really big role here. And if you ask me what are the others different well they're just not doing it as good as we do. I mean, that's probably my comment to that. And maybe another comment also is I think we are a company that is truly -- and I guess it's another big word. We are customer-obsessed. We are freaking out when things are not working as they should, when customers whatever have an issue or so. Our products and experiences are not simple enough and so on and so forth. We are really freaking out about it and we make every effort to provide great customer service and maybe the others just think they have kind of a cheap trick or whatever. But that really is something you need to ask the other and discuss with them, yes. If there's another indication, I really which is obviously yours following that, we see the churn rates of our competitors and they are almost double of those that we have. And that is another underpinning of our theory and that theory I think it is really our belief. The Swiss market and consumer are still quality-centric and service-centric and so on and so forth yes. The promotional pricing that like lures in customers into competitors' offers, eventually they figure out that it's just not as good as it was with Swisscom. And I stop here because...
Louis Schmid: Okay, Steve.
Steve Malcolm: No I think we -- can I just probe a little bit because, I think that's been true for a long time, but it seems like the gap has got bigger in the last couple of years that clearly you have a great brand, but you've also had some benefits from their poor execution on top of your great execution. So the question more aimed at like, if they were to improve, you've had a couple of years where those service revenues have improved, but you're not -- what you're saying is you haven't seen any change in their perception in the marketplace. Or is it still clearly very, very good and they have problems that you don't have?
Christoph Aeschlimann: Well, I think that maybe I can answer the – I mean looking forward, if they were to improve that's obviously, a risk that could put additional pressure on service revenue or might require a different approach in promotion activities. And that is why it is so important that we continue to invest and focus on the best quality, the best network, the best experience in the shop online digital or in the call center to be able to ideally increase the NPS lead or while the others increase we increase as well or improve as well. So that's sort of the delta we have we can maintain at least a difference. And that's why we continue to focus on this let's say super-high-quality strategy.
Louis Schmid: All right. Thank you, Christoph.
Eugen Stermetz: Okay. Steve, on your second question, I always like your questions. They are always a challenge in particular, since we don't have your extra spreadsheet in front of us but I think I got the main thrust of the question which is Fastweb group CHF 151 million in 2023. We are kind of begging out the let's say one-off extraordinarily high revenues in Q3 and Q4, which you put at about CHF 60 million. So that would give a growth of Fastweb in 2023 of about CHF 90 million, which will be maybe 3% to 4%, 6% that we were seeing. I hope I got that roughly right. And the 3% to 4% are actually in line with the original guidance we had at the beginning of the year for Fastweb. So that's all consistent. Now in the light of these numbers, the guidance for the revenue for 2024 is 2% to 3%. So it's in the same broad back side but slightly lower than 3% to 4% that come out of that hypothetical calculation. Obviously, the composition of revenue growth as we see it right now in the next year will be a bit different. It was very much biased towards enterprise business this year. Next year we do expect an acceleration in growth in the wholesale business because the wholesale business this year still had a drag of a IRU [ph] business, which is not related to the UPB access line business. So higher growth in wholesale and certainly lower growth in the enterprise business compared to this year as much as we can see for the moment. So I hope I could shed some light on that question but feel free to...
Steve Malcolm: Yes. I think the point I was making that you back out the CHF 60 million from the starting point. 2% to 3% is actually more like 4% or 5%. So it's actually an acceleration if you assume that you don't get the recurrence in those one-off revenues. So I was kind of wondering how you get the acceleration and I think you're saying that it's more wholesale.
Eugen Stermetz: Wholesale is one of the answers.
Louis Schmid: All right. Thank you. And then the last point?
Christoph Aeschlimann: Okay. So on software spending CapEx. So I think if we go a couple of years back our software spending was actually lower than it is today. So we accelerated software spending over the past two to three years to accelerate our digital transformation and especially what Urs talked about before, building the new products, building the new online experience to My Swisscom business. And obviously, these investments at one point will also come to an end and we will be able to decrease again our investments on the IT side. But even with all the simplification, renovation, we still have multiple hundreds of IT applications remaining. So there will still be a lot of need for renovation and digitization in the future. There will be new technologies like AI that we need to continue to invest. But I do expect IT spend to decrease slightly in the future, once the majority of this renovation is over. But you have also seen that fiber CapEx was only CHF 466 million this year and they will move up to CHF 500 million to CHF 550 million this year. And the part of this increase will be compensated by IT or a reduction in the transport and backbone bucket. So we will shift a bit the CapEx allocation this year to keep the overall CapEx envelope stable despite the fact that we will spend more on the FTTH rollout.
Louis Schmid: Thank you, Christoph. Thank you, Steve.
Steve Malcolm: Thank you.
Louis Schmid: Next question comes from Titus.
Titus Krahn: Good afternoon, all. Can you hear me well?
Louis Schmid: Yes.
Christoph Aeschlimann: Yes. Hi, Titus.
Titus Krahn: Perfect, guys. It's Titus from Bank of America. Just wanted to -- first of all, thank you for a very detailed presentation also on the guidance side. That's really helpful for us to model. But my question I wanted to dig in a little bit deeper was just on the copper decommissioning, you were talking about just because I think that's such an exciting topic for probably the next 10 years or so across the entire sector. Just a couple of small questions. I think some of your peers indicated that fiber as an OpEx line, it could be something like one-third of copper. So your assumption is that is it roughly in line with that? Or do you have a kind of different assumptions behind your CHF 100 million number which as you said might go out? Then also in terms of timing, how long does it take from kind of making a decision that you want to shut down copper in a specific region? And Antel's actually fully done and can you do that partially? And as a third question also, you currently expand your fiber network and you elaborated on the fact that it's kind of currently a parallel network, you start shutting down copper, but you already see some efficiencies from moving to fiber and from copper. When do we see actual fixed network OpEx coming down? Do we already see that within the net savings we have in 2024? Or is it something only to happen in the future? And then just a very different topic, sorry for that. Just a last one on Fastweb maybe. There's kind of the reports about the WindTre network sale being a little bit behind also because third parties like you don't really disagree with it. How is the strategic value? How is your positioning on that? Is that something which is really relevant for you? Thank you very much.
Louis Schmid: Thank you very much, Titus. I think the copper question goes to Christoph.
Christoph Aeschlimann: So the way we thought about the copper savings, we actually made a bottom-up estimation of what we can save on energy, on maintenance, on call center expenses. And I think to my knowledge, we actually didn't calculate it in percentage of our current copper spend. So I can't answer that question unfortunately, but I think it's an interesting angle to look at it. So I will -- I think we will have a look at this in the coming weeks or months to be able to comment more on this. In terms of timing, you are clearly looking at multiple years. So we are still in the process of discussing the precise process of shutting down with the regulator, how much notification period needs to be set up. But you can expect something like probably a two-year notice period before shutting off a connection and then you really need to do it. So I mean we're looking at sort of a two to three year period once we get started to -- but we will obviously also already start migrating our own customer base already this year. So we will already see the number of copper connections going down but -- and which will generate some cost savings. But on the other side, while we are expanding the fiber footprint, we are actually increasing our cost base. And on a temporary basis, I have let's say a double -- I have the copper cost base and the fiber cost base, which will eliminate on a net basis most of the fiber -- most of the copper savings that accrue in the coming two to three years. There is maybe an exception for example on the, let's say, the call center side B2C. You can clearly already see this year or last year, a certain amount of savings. So Dirk talked about the decrease of number of calls at the customer center. And part of this decrease is because the customers on fiber tend to call us less than customers on copper. So these are areas where already today we accrue some savings, but really on the let's say the fixed network side, I think, we are still a couple of years out before we see the net effect between copper and fiber turning into a negative number.
Louis Schmid: Thank you Christoph. And then to you Walter.
Walter Renna : Yes. Thank you. So on WINDTRE NetCo sale, of course, I can't comment on their situation. I can only say that we are an epi partner of WINDTRE. We have a long-term commitment to roll out 5G network together with clear milestone and clear SLA. So we are delivering on that. The quality of the network is very good as you can see from the award that we are winning on 5G. In principle, we are not against any network separation of WINDTRE as long as we can keep these long-term commitments in terms of rollout and quality of the network.
Louis Schmid: Thank you Walter. All good Titus?
Titus Krahn : Perfect. Thank you very much.
Louis Schmid: Perfect. Thank you very much. Next question comes from Luigi.
Luigi Minerva : Hello. Good afternoon everybody. Can you hear me?
Louis Schmid: Yes. Hi, Luigi.
Luigi Minerva : Yes. Hello. Yes. Thanks for the presentation. A very useful as always. I have three questions. The first one is on Switzerland and your approach in B2C to price increases. Now if we step back last year you changed your closure in the contract to introduce a link to inflation. But if I remember well the key reason for not applying that inflation link was the fact that you were already at the 70% premium compared to Sunrise secondary brands. So you felt it was not appropriate to go ahead with an inflation-like price increase. Now if you think about 2024, do you think the market conditions have changed? Do you see scope for linking your price to an inflation escalator? Or perhaps you just prefer the flexibility of ad hoc more for more price changes? The second question is on Fastweb. And I guess it's obviously been a very important asset for you over the year. But what strikes me for an asset that is still facing great growth potential is the lack of operational leverage. So there was no operational leverage last year. Your guidance for 2024 implies once more no operational leverage in 2024. And I guess the reason is because, growth comes from lower margin revenue growth. So I guess, if you look at the organic and the inorganic opportunities available for you in the Italian market, what's your thought? What can you take advantage of, in order to finally deliver operational leverage at Fastweb? And thirdly, a big picture question for Christoph. I've written down one of your sentences from the opening remarks, we have to invent new products to grow. That's too good of a sentence to let you go. And I was wondering, if you can elaborate because will be exciting if you comment. Thank you.
Louis Schmid: All right. Thank you very much, Luigi. First question goes to, Dirk.
Dirk Wierzbitzki: Okay. Yes, indeed, we put in this inflationary price increase possibility into our terms and condition last year. As a matter of fact with us and maybe also others it was quite a low mission. We should have probably done it right away, but who have ever thought in the last 10 years or so around the inflation that it's going to happen. So the inflation then occurred. And we looked at it and not knowing how things develop you thought it was let's say, a good idea to provide for that possibility in the Ts and Cs yeah. And then later on we obviously had a discussion, would we actually activate it or not. And we made a choice here clearly for customers and satisfied customers, and did not activate that clause. And by the way the earlier question from the other gentleman, why is NPS being deteriorated? Maybe there a correlation both of the competitors actually did utilize a clause and did price increases just like that. And I don't think it's a theory. We've seen a very practical terms that did not go down there where there's a customer base, yeah. So we decided against that. That said we take a bit more of a difficult approach, because it's more work than obviously to identify the growth areas within the base which customers can you develop from like order tariffs into the front book tariff. You know what else can you do and something -- there is something that we want to address beginning this year in Q2 already. So we see targeted or selected price movements. But in any case, whenever we move price I don't think it's appropriate just to increase the price like that. We're always looking at providing more value with it. So there's always an element you pay a bit more, but you get actually much more in return for that. That is our strategy for this year.
Louis Schmid: Thank you, Dirk ….
Christoph Aeschlimann: Okay. And so…
Louis Schmid: …and Christoph?
Christoph Aeschlimann: Maybe on the second and third question, lack of operational leverage, so you're right that in the past years some of the -- or much of the growth has come from rather lower margin side. And that's one point. And I think on the other side there have also been or has been inflation in Italy or there is still some inflation, that despite also cost-saving measures part of the new gains due to new revenues have been eaten up by increased cost base, making it look like you cannot leverage or create operational leverage. So as I pointed out before, I will not comment on inorganic moves that potentially exist. But I think what is really important from my point of view in Italy, is that we continue to focus on increasing the operational leverage also in a stand-alone mode. So we need to generate growth also from products which are higher margin. So we need to move into higher-value services like providing AI compute type services, where typically in the private cloud infrastructure environment you enjoy good margins when you sell those type of products; a certain type of cybersecurity services, which are rather high-margin; or as Walter mentioned we are focused on creating sort of an ecosystem in B2C around energy around insurance to try to move into managed services with a better margin profile. And I think that's the approach we have in Italy to increase the operational leverage of Fastweb. Now, the opening remark we have to invest in new products to grow. I think that's quite a obvious one, because we see that, service revenue continues to erode in Switzerland. So on the one side, we are very, very focused on reducing this service erosion in the future which I think is an important element of the strategy. But even this erosion sometimes requires new products. And then probably we need to move into entirely new space. And I think one area where you can see this quite well is on the B2B side, where we have launched this completely new workplace for SMEs, which is quite innovative. It actually merges fixed line or telephony services with broadband for multiple locations with a cloud infrastructure and cybersecurity and workplace infrastructure offering sort of a one-stop shop for SMEs to really digitize their own company with one supplier making sure that from a data governance perspective security perspective everything is taken care of. And the SME partner can safely and securely cloudify its own business. So this is something for example, where we have quite a lot of expectations of growing new revenues in the coming years. Or the other example Urs was talking about, we are working on is this new B2B convergent offering, where we try to come up with a new product offering converging security and connectivity, because we believe that in the future security will be a main driver in B2B. And this should hopefully, also put us in a position to either ease the service revenue erosion or ideally create more revenue in the future and getting back into a more neutral or even hopefully positive position, but this will take a number of quarters or years to execute.
Louis Schmid: Thank you, Christoph. Thank you very much. Next question comes from Nuno.
Nuno Vaz: Hi. Good afternoon. Hopefully you can hear me okay.
Louis Schmid: Yes. Hi, Nuno.
Nuno Vaz: So can you hear me?
Louis Schmid: Yes.
Nuno Vaz: And so a couple of questions from my side. First is on the FTTH network expansion. So, at this time you were at 46 percentage points coverage of FTTH. You've only done a 3-percentage points increase and now you're guiding for 57 percentage points by 2025. So just wondering, what's driving this sort of jump. I'm assuming a lot of this is to do with the fact that you retrofitted the point-to-multipoint lines. Is that the case that you finished this? So, just wondering about this point? Also wondering about the co-investment and what sort of risk do you see that -- from my understanding is that these utilities that you could invest with get the right to wholesale one or more of the FTTH lines, what risk do you see that they could possibly undercut you on pricing? And then finally, since on Fastweb since FWA such -- has been such a topic this call. I would ask if you could sort of break down for us why you think the FWA offer is attractive for Fastweb? Because if I wanted to have sort of a bearish view on FWA, it's going to consume a lot of network capacity. It's a very competitive market where we have Yallo, Tiscali, three mobile operators, Open Fiber, all providing offers. Why do you think it's attractive for Fastweb also to provide FWA? Thank you.
Louis Schmid: Thank you, Nuno. The first two questions will be answered by Christoph and the last one by Walter.
Christoph Aeschlimann: So, on the FTTH expansion actually 1.5 years ago, we announced that we are changing the FTTH rollout, because previously we built in a point-to-multi-point architecture and then we had the investigation by the antitrust authorities in Switzerland, which want us to build in a point-to-point architecture. And 1.5 years ago we decided to switch the construction rollout from a multi-point to a point-to-point architecture and the switch has taken place last year and has somehow reduced our capacity to roll out fiber last year. But now this switchover is completely done and we are building at full speed and we also ramped up additional capacity over the past year. And that is why last year, we had a 3% increase, and now moving forward, you will see a rather sort of a 5-percentage increase year-on-year in the next two years. Now on the co-investment and the wholesale side, you're absolutely right. On the one side co-invest reduces the cost to build, but it creates a new wholesale competitor. So every co-investment partner has the right -- owns half of the infrastructure and has the right to wholesale FTTH connections. So we are now in a position on the copper side there was only Swisscom selling or wholesaling copper whereas in the fiber turf typically there is Swisscom and a utility company wholesaling. And this creates also wholesale competition, which creates a price competition and we also focus on the wholesale side, on customer quality, on service quality and making sure that our wholesale customers are happy with how we deliver the wholesale side.
Louis Schmid: Thank you, Christoph. Walter?
Walter Renna: Yes. On FWA again, just to explain to you the rationale behind this move to covering white areas with FWA. White areas are currently covered by broadband. This is easy 20 megabit speed. You can offer above 100 megabit with FWA. But even in case you have ultra-broadband in place in white areas, typically you have FTTS with very long lines. So with a performance, which is between 30 and 40 megabits. So really not satisfactory to fulfill the needs of our customers. On the other side, the mobile network in the white areas is pretty empty. So we have a lot of capacity to leverage to offer FWA solution in such areas. So we believe it's the right technology will allow us to cover this area immediately with a very good cost structure.
Louis Schmid: Thank you, Walter. Okay for you, Nuno?
Nuno Vaz: Yes. thank you.
Louis Schmid: Thank you. All right. Let's move to the last question coming from Robert. Thereafter, we are closing today's meeting. Robert?
Robert Grindle: Can you hear me?
Louis Schmid: Yes. Hi Robert.
Robert Grindle: Hi there. Robert Grindle from Deutsche Bank. A couple of clarifications. On Fastweb, something was said about Africa and the Middle Eastern opportunity. I didn't quite catch that. Is that a carrier's carrier virtual pop for B2B or something else? Is it a decent margin opportunity? Is it something for this year? Or is it something more for the future? And on Swiss B2B, something was said about stabilizing ARPU. And I thought like Polo it was prices, but you're clearly trying to say something else on B2B ARPU stabilization I think. So, what is it if it is? And then finally on Swiss CapEx, fiber up, AI up. Is it the 5G spenders coming up? Have we finished the heavy lifting on 5G now given your high connect scores? Thank you.
Louis Schmid: Thank you, Robert. First question will be answered by Walter.
Walter Renna: Yes. So regarding the international business, Italy is the point that connected the submarine cable to Europe and then through Italy, there is a lot of traffic moving, right? Why is an opportunity for us? The submarine cable land is Sicily and in Genoa, right? Then you need to transport this traffic to Milan or Paris or Marseille. This is an opportunity for us to connect this landing station to the main exchange points, right? Since the traffic is growing very well in Middle East and Africa, we would like to play a role in transporting this traffic. And you are right, this is not an imminent upside, but we will develop over the course of the next quarter.
Louis Schmid: Thank you, Walter. Then B2B, Urs?
Urs Lehner: B2B side ARPU stabilization, I guess first of all, it's clear to say that it's a more-for-more strategy that we are executing. So adding some additional value to our bundled products in the SME space and also managing our price erosion in the competitive negotiation environment in the corporate space there we definitely executed very well over the last two years which we truly believe by adding some additional elements into our overall services and our value-added service elements we are convinced that we are able to stabilize our ARPU way forward.
Louis Schmid: Urs, next question.
Christoph Aeschlimann: On Swiss CapEx?
Louis Swisscom: Yes.
Christoph Aeschlimann: Sorry. The mobile rollout 5G will continue for a couple of years. And I think you can expect mobile CapEx to remain roughly unchanged because I mean after 5G come 6G. So I don't expect mobile CapEx to significantly change in the coming years. But to compensate for the fiber increase and potential AI investments as we said before IT over time will go down. Also the buildup of the new optical and IP core networks the heavy lifting has been done in the past two years. So there is still some investment left this year, but these buckets will also go down in the next years which allows us to keep the overall Swiss CapEx envelope stable.
Louis Schmid: Thank you very much, Christoph. Thank you, Robert. So obviously there is one very, very last question coming from Ajay, JPMorgan. Are you on the hold.
Unidentified Analyst: Hi, there. Thanks for taking my question. I just had a quick follow-up on I guess, slide 37. You previously said that you've converted all your point-to-multipoint line because in last year you kind of showed which were constructed lines and non-marketable. I just wanted to clear up are they -- are all of those now converted over so that they're all marketable now? That was my only question. Thank you.
Louis Schmid: Thank you very much, Christoph?
Christoph Aeschlimann : So out of the current build roughly 9% of the lines are still not marketable. They're still blocked due to the regulator or the investigation that is ongoing for which we are waiting for the decision in the coming weeks. And we need to one by one upgrade those lines to the new point-to-point architecture and this will take place over the coming years. So the gap between the build footprint and the marketable footprint will continuously decrease over the coming years, while we upgrade the blocked connections.
Louis Schmid: Thank you, Christoph. And at this point it is from our side. And in case of any follow-up questions do not hesitate to contact us from the IR team. Thank you for your participation and attention. Have a nice evening.
Christoph Aeschlimann: Thanks.